Thomas Oetterli: This was Schindler R.I.S.E, the robotic installation system for elevators we just industrialized in 2019. I will come back to this later.  Good morning, ladies and gentlemen, and welcome to today's full year results 2019 presentation. My name is Thomas Oetterli. I'm the CEO of the Schindler Group. I will start today's presentation by providing an overview on the development of the global elevator and escalator markets, our strategy and innovation we've been driving forward over the years. Urs Scheidegger, our CFO, will then speak about Schindler's performance in 2019, guide us through the financial details and also provide the outlook for 2020.  Overall, we are pleased that we can present again a solid set of results. In 2019, Schindler managed to adapt to a challenging market environment, continued to grow and strengthen the market position.  Before we dive right into the presentation, I'd like to make a few remarks on what has been an eventful year and a terrible start to 2020. The elevator and escalator sector is currently undergoing an unprecedented period of change. We are operating in an already highly concentrated industry with four global players contesting for new installation projects, service contracts and eventually market share. A merger between two of them might sound easy but would create many issues affecting the whole industry. First, a 4 to 3 merger would result in lengthy antitrust litigations in various jurisdictions around the world, at least in Europe, in the U.S., in Canada, and eventually also in Australia and China.  Secondly, if two almost equal players were to merge, this would mean redundancies along the entire value chain in both companies, from R&D to production and supply chain but most importantly, in what's the core of value creation in each and every branch office where technicians install, maintain, repair and modernize elevators and escalators, resulting in local drama times thousands and a massive negative social impact.  Thirdly, such a merger would result in severely increased competition, leading to enormous price pressure that could go on for years. We at Schindler do not want to trigger nor participate in such a scenario. Organic growth has been our DNA for almost 150 years. We do opportunistic acquisitions if we see strategic fit and the acquired company can be smoothly integrated.  That said, we continue to focus on our strengths and our first and foremost priority, to grow faster than the market. How do we want to achieve this? We continue to leverage our innovation power with various large-scale digitalization initiatives along the entire value chain. These multiyear programs lay the foundation to bring artificial intelligence to life and enable data-driven insights.  Our modularity program will completely change the design of our product offering, making it more seamless and enhanced by various new design options. These are the key technical prerequisites to respond to the ever-changing demand for smart urban mobility and even more precisely, vertical mobility, corresponding to macro trends such as urbanization and aging populations.  Now in early 2020, with the coronavirus in China, a new challenge came up, which basically halted the whole country in China for the last weeks. We are facing challenges of protecting the health of our employees, while assuring the business continuity for our customers. Our local team has established a local crisis management team, and I can say the team has done a really impressive job. We have started to slowly ramp up deliveries from our factories since this week and are in close interactions with our customers and suppliers.  It is too early to quantify the whole impact on our financial results since it depends on the timing China comes back to normal. However, the first quarter and the half year results will be heavily impacted. For the full year, depending on when the peak in China will happen, a loss of several hundreds of millions on the top line is possible, directly impacting absolute EBIT and profitability. But I'm convinced that we'll also overcome these difficult times.  Let me now start the presentation with a brief overview on the mega trends supporting our business and on the development of the different market regions in 2019. Advancing urbanization and demographic changes are the main global drivers for our business. Urban population is constantly growing. By 2030, 15% of the 5.1 billion people living in urban areas will be concentrated in just 43 mega cities. These are cities boasting more than 10 million inhabitants like Delhi, Shanghai, Dhaka and many others.  At the same time, the middle class is growing by 60%, bringing the need for more infrastructure and living space. And the aging population is driving the need for solutions to facilitate safe mobility. Latest technologies foster our business since the demand for energy-efficient solutions, digitalization and the aging installed base open business opportunities.  I now move to the global markets. The global new installations market grew by 2% in 2019. The upper section of the slide indicates the development of the various regions in unit terms. After a strong cycle, the North American market was slightly slowing down, mainly driven by multifamily, residential and commercial segments. Infrastructure, institutional buildings and large projects remained solid.  Latin America was overall slightly positive with growing signs of a recovery in Brazil. While units were flat in the Americas region, the EMEA region declined. Growth in the north was more than offset by the sharp contraction of the Turkish market, which lost, again, about 50% of market volume.  In Asia Pacific, the construction sector benefited from continued urbanization and infrastructure spending. In many markets, slowing economic growth affected the construction industry. Contrary to expectations, the Chinese market was up. The other countries in the region showed mixed developments.  The lower section of the slide provides an overview of the global new installation markets in value terms, with Asia Pacific accounting for 65% global value driven by China, still and being for a long time, the biggest market in the world. In the existing installation market, the key growth region in unit terms was, again, Asia Pacific. The global existing installations market was up by roughly 4%. In value terms, the distribution among the regions is more balanced since average prices in Asia Pacific are lower than elsewhere in the world.  Now let's have a look ahead into 2020 on Slide 8. We expect the global new installations market to decline since China is expected to record a negative development due to the pandemic impacts, persisting trade tensions and ongoing currency risks in emerging markets. I now come to the strategy of Schindler on Slide 10. We continue to follow and implement our strategy since many, many years.  First, we want to grow faster than the market. That's our ultimate goal. Of course, we also want to improve profitability. And last but not least, we are working to foster a winning team on all company levels. Operational excellence and long-term investment programs support the achievement of these targets, delivering on customer excellence, on quality and on innovation, generate a unique user experience and value for our stakeholders. Schindler takes, like always, a long-term view and approach reactively, adequately to short-term turbulences. Our number one priority is growth. With that, we are even ready to compromise on short-term profits for the benefit of long-term health of the company. Growth in the new installations business, coupled with a high conversion rate, safeguards the competitiveness of the group in the long run and inherently leads to increasing absolute operating results, which is priority number two. Schindler has continuously been able to outgrow the global elevator and escalator market, supported by a strong performance in the new installations business, a steadily growing portfolio through NI conversions, higher pricing through connectivity and selective M&A, as well captured modernization opportunities.  One of the pillars of our success is higher sales density we built over the last years, particularly in the 2 largest markets in the industry. In China and in India, we more than doubled our footprint, built local production and value change -- chains and are today perceived as a truly local player with competitive, localized product offerings. We have secured more and more major projects in the recent past. These are another important growth factor, supported by effective and client-centric key account management.  On this slide, we show just a few projects around the globe, where Schindler brings better quality of life to dense urban areas. In addition to growth, to improve profits is another strategic target. Over the last 5 years, Schindler was able to increase our EBIT by more than CHF65 million on an average per year net of negative FX impacts, which amounted to a total of CHF113 million over this periods. Field efficiency, pricing initiatives and in 2019, savings generated by the modularity program made up for headwinds caused by rising material costs, wage inflation and accelerated expenses for strategic investments into technology and innovation.  Our long-standing commitment to sustainability represents an important cornerstone of Schindler's way of doing business. Last year, we formalized the Schindler's sustainability strategy focusing on 6 priorities relating to the environment, to our workforce and to society, each complemented with specific targets for 2022. In the course of 2019, we drove various initiatives to further reduce our carbon footprint, to foster an even safer work environment and to build a more diverse and inclusive team.  I would now like to introduce the next agenda item, innovation for unique customer experience, with a video.  OmniTurm in Frankfurt is the first high-rise building in Germany with genuine mixed use for commercial to residential and public areas. The building is a showcase for seamless mobility with Schindler elevators, Schindler Ahead, with PORT and myPORT solutions for access and destination control.  In more detail, Schindler Ahead ActionBoard provides real-time information and performance status of elevators. Schindler E-Vision offers in-car infotainment, and the suite of PORT and myPORT applications maximize efficiency and convenience for tenants and use of equipment.  We made significant progress in transforming our business digitally. We added new solutions to our digital product offering, which were positively received by our customers. Through Schindler Ahead, which has been the pioneering IoT platform in the elevator and escalator industry for 4 years, we significantly increased the number of connected units, paving our way for the transition to cloud connectivity and functionality. Real-time information, adaptive maintenance and personalized solutions are to be mentioned in this context, all provided with leading cybersecurity standards. Our Technical Operation Centers are the core of the Schindler Ahead closed-loop system. They monitor now already 75% of our connected units, address issues, coordinate actions and deploy technicians. The combination of industry-leading technology and highly skilled field people create a unique value proposition, providing efficient and customized services.  The introduction of the Digital Twin for our elevators and escalators remains a key priority. It will change the way we work from a traditional step-by-step approach with a multiple systems environment and fragmented data along the value chain to digital data continuity. One common platform with seamless access to a single source of data will accelerate time to market of products and improve quality.  The related multiyear investments is crucial to bring artificial intelligence to life and enable data-driven insights. However, this investment into the future will generate the named improvements only in a couple of years.  Our modularity program is market ready. It is the foundation from which we will launch a new generation of elevators in 2020. Sales already started in several markets. With that, we provide our clients a seamless product offering and a range of user-friendly design options, streamlining component variance and solutions.  Thanks to the state-of-the-art connectivity, our new elevators offer unique user experience through cloud-enabled digital features. Most importantly, all these new functionalities are channeled via industry-leading cybersecurity standards. We started this presentation with a video of Schindler R.I.S.E, our Robotic Installation System for Elevators. It's not just a vision or a prototype anymore. In 2019, Schindler R.I.S.E has been industrialized, and we will use it in more than 10 key projects already in 2020. It is an efficient, autonomous, self-climbing robot for safe and high-quality installations of elevators, eliminating repetitive and physically demanding work.  But that's not all. Recently, we also launched a new Schindler escalator. With the Schindler 9300 premium, we are consolidating our leadership position in the escalator business. It sets the benchmark in quality and sustainable materials, provides seamless building information modeling support and unique Schindler Ahead services.  I would like now to hand over to Urs to discuss the 2019 results. Urs, it's your turn.
Urs Scheidegger: Thank you very much, Thomas. Good morning, ladies and gentlemen. I directly jump to Slide 26 and kick off with the highlights for the year 2019?  2019, again, was a successful year for the Schindler Group. We maintained our strong top line growth and further strengthened our market position. Schindler grew across all product lines and regions, and we were successful in winning major projects across the globe. Our strong brand is well appreciated by our customers. In view of increasing raw material costs, wage inflation and negative foreign exchange impacts, we are pleased with the results we achieved.  The next 3 slides provide an overview of the regional market developments. Since Thomas already elaborated on them earlier, I would like to continue with Slide 30. In the fourth quarter of 2019, our order intake rose by 3.2% to CHF3,114 million, equivalent to a growth of 5.7% in local currencies. Our order intake includes all product lines, new installation, modernization, service and repairs.  The Americas region generated the highest growth rates driven by strong growth in the new installation business. Same for EMEA, while new installations in Asia Pacific was somewhat weaker compared to the remarkable performance of the other regions. The service and repair business lines recorded solid growth across the world. Revenue improved by 2.6% to CHF3 billion in the fourth quarter of 2019. Negative foreign exchange translation effects amounted to CHF70 million, particularly due to the strong Swiss franc against the U.S. dollar, euro, Chinese RMB and the Brazilian real.  In local currencies, revenue was up by 5.0%, supported by the new installations and the existing installation business. The Americas region achieved the highest growth, followed by Asia Pacific and EMEA. Operating profit declined by 2.3% to CHF335 million, equivalent to a growth of 0.6% in local currencies. Foreign exchange translation effects had a negative impact of CHF10 million. Restructuring costs of CHF25 million plus -- or CHF14 million compared to the previous year and driven by local efficiency programs in selected countries as well as expenses for BuildingMinds of CHF4 million weighed on our results.  The EBIT margin reached 11.1%. EBIT adjusted was CHF364 million, equivalent to an increase of 2.8%, respectively, 5.6% in local currencies. Margin of our EBIT adjusted slightly increased to 12.1%, which is sequentially improving quarter by quarter over the year. Excluding onetime effects in the fourth quarter of '18, the financing and investing activities remained broadly unchanged. Consequently, net profit decreased by 5.0% and reached CHF249 million. Cash flow from operating activities in the fourth quarter of '19 was very strong, increasing by 83% to CHF529 million.  There is a base effect since net working capital was particularly weak in the fourth quarter of 2018. Nevertheless, I'm pleased to see that global initiatives in the area of net working capital management bear fruit. Please turn to Slide 31, showing key figures for the full year. For the 12 months of 2019, order intake increased by 3.9% to CHF12.1 billion, corresponding to a growth rate of 5.8% in local currencies. Good volume growth was supplemented with success of major infrastructure and commercial building projects, particularly in North America and Asia Pacific. All product lines and regions generated growth compared to the previous year. Asia Pacific grew the most, followed by Americas and EMEA regions.  We are pleased with our China new installation growth in the high single digits for the full year. The modernization, service and repairs business lines recorded solid growth, both in volume and in value. Revenue increased by 3.6% to CHF11.3 billion, equivalent to a growth rate of 5.6% in local currencies. Negative foreign exchange translation effects amounted to CHF260 million driven again by the strong Swiss franc against euro, Chinese RMB, Brazilian real, but also Australian dollar and Turkish lira. The Americas region achieved the highest growth, followed by Asia Pacific and EMEA regions.  I move to Slide 32. Revenue growth by region in local currencies shows continued strong growth in the Americas, while growth in Asia Pacific and, particularly in EMEA, somewhat slowed down from extraordinary high levels in the previous year. Our order backlog continued to strongly improve by 7.6% in local currencies to CHF9.0 billion across all regions.  Back to Slide 31. Operating profit reached CHF1,258 million in 2019, 0.9% less than in the previous year. In local currencies, operating profit increased by 1.3%. Our EBIT margin was 11.2%.  Foreign exchange translation effects had a negative impact of CHF28 million. Operational progress and good price adjustments could not fully offset higher material costs and particularly wage inflation as well as the higher spend on strategic investments. Before restructuring costs of CHF38 million and expenses for BuildingMinds of CHF18 million, the EBIT adjusted increased to CHF1,314 million, equivalent to a margin of 11.7%. Net profit totaled CHF929 million compared to the previous year result of CHF1,008 million, which included a onetime tax refund of CHF60 million. Excluding this onetime tax refund, net profit was 2% less than in the previous year.  Cash flow from operating activities strongly increased by 17.9% to CHF1,185 million. Adjusted for the settlement of pension obligations and the introduction of the new accounting standard, IFRS 16, it actually amounted to CHF1,224 million. As a result, earnings per share reached CHF8.04. I'm moving to the dividend proposal. An ordinary dividend payment of CHF4.00 per share and participation certificate is proposed to the general meeting of shareholders on March 19. This represents a payout ratio of 49.8%, and in our payout ratio range of 35% to 65%.  Let me now finish my speech with the outlook for the year 2020 on Slide 35. Looking ahead, demographic changes and advancing urbanization, among other global mega trends, continue to drive Schindler's business. At the same time, fast changes in the political, social and economic fronts, underpinned by historically low interest rates, will continue to affect markets. The strengthening of the Swiss franc constitutes yet another challenge. With more than 1,000 offices in over 100 countries, Schindler is well positioned to tap into specific market opportunities. At the same time, we now have to recognize that the coronavirus pandemic will have implications on operations and results. The first quarter and half year results will significantly be impacted. For the full year, a loss of several hundreds of million on the top line is possible, directly impacting absolute EBIT and profitability.  Nevertheless, Schindler expects for 2020, excluding any other unforeseeable events, to continue growing faster than the market with revenue increasing between 0% to 5% in local currencies. As in previous years, the guidance for net profit for 2020 will be provided with the publications of the half year results.  With this, we would like to invite you to ask for questions.
Thomas Oetterli: I would propose that we maybe start first with questions here in the room. And then we also take the questions online.
Q - Daniel Gleim: MainFirst, Daniel Gleim. Thank you very much for referring to the China pandemic as a key risk for 2020. Could you maybe help us a little bit understand what the economics are of forgone sales in China? If we lose CHF100 million in sales locally, what will be roughly the negative EBIT impact?
Thomas Oetterli: Well, it's different to -- honestly, at the moment, I am personally in a daily call every morning at 7:30. I did that also today with our team in China. Maybe let me elaborate a little bit how the situation is, and I think then it's easier also to think about impacts. So over the last 3, 4 weeks, I have to say the country came to a halt. So there have been, of course, different elements. One is that due to the infections we had in China, people have to stay at home. So over the last 3 weeks, nobody was working in overall China. People stayed at home. We, of course, try to do as much as possible home office, like many other companies did as well. But most -- not most, all the factories in China did not reopen until this week. So this is not only impacting our own factories, we have started this week, but also the factories of our suppliers.  Now the impact has an impact in China because our Chinese supply chain, of course, in first hand is supporting our Chinese demand, but it's also impacting our export markets because we also export to Southeast Asia and Australia out of our Chinese factories. So if the factories do not work, there is no export, which can be shipped. And if there is no export shift, you also have delays in the installation in other countries than China.  But the story goes even beyond. As our suppliers do not have opened their factories, and you look on the global sourcing metrics worldwide, even if you source a component in Europe, in the U.S., in Latin America or in India, the subcomponents of this local supplier are coming from China. De facto 70% of worldwide components are -- in our industry are coming from Shanghai and the circle of 100 kilometers around.  Now the biggest issue at the moment is logistics. Because in order to avoid that you have from human-to-human infection, people at the moment are not allowed to travel from one province to the other. This means, if you, for example, have a worker living just beside Shanghai in the so-called Jiangsu province, this person is not allowed to travel in the morning cross-border to Shanghai to work for us and go back in the evening. So what happens is that they have to do 14-days quarantine period. Now you can imagine, if you have a 14-days quarantine period, you cannot go back in the evening.  So what we have done, we have set up dormitories. We have rented hotels for our workers in Shanghai. So the people come in, but they have to stay for two weeks in self isolation. After the two weeks, they are then allowed to work.  Thank God, our team in China has realized that very early, and we have set that up already about 10 days ago. So we now have a constant ramp-up of our workforce. But still, we are depending that factories of suppliers are opening their factories, and you need permission by the government. In order to receive that permission, you have to have like a pandemic plan. So how do you do sanitizing? How do you do cleaning of the factory environment? Do you have enough personal protection equipment for your workers?  So we have already secured more than a 7-digit number of masks as we started that right at the beginning. Seven digit means more than 1 million for those who are not aware about that, more than 1 million of masks, which allows us to keep when the people are back at work, we are able to work with this amount of masks for the first half of the year.  Now the topic is we all don't know when the peak of the pandemic will happen. There are signs that it could be towards the end of February. There are signs that it could be somewhere in March or beginning of April, and then factories are really fully ramping up.  Now at the end, you have to take a choice: How are you adjusting your structure in such a crisis situation? Because this then has impact on how much the negative impact on your EBIT will be. If you would tremendously reduce your workforce, so you are reducing your structure costs, then maybe the impact is less. But we have full trust that after this crisis, China will be the biggest and strongest market, and it is not our culture to act short term. So we do not want to lay off the people, and then in a couple of months, we have to hire them again. And then you have to train them. You have to create a certain quality level. So we will be, with that scenario, impacted higher than our average EBIT margin worldwide because we do not adjust our structure immediately.  So what it will be? It's difficult to say for me. I do have confidence that there will be a ramp-up. We are prepared. We are in constant contact with our customers, not only in China, but all over the globe. And of course, we are also supporting our suppliers that they can establish the right plans to get the permission by the government to open their factories.  And I have to admit, it's a little bit looking into the crystal ball because it's, honestly, every 24 hours, we have to be agile. You cannot do a multi-month plan at the moment. You have to first secure the health of our employees. Imagine, we are keeping our service business ongoing. We have not stopped our service and maintenance tasks. So we kept that because people need those elevators in buildings, in the hospitals. And of course, we have to protect our employees, and we have done all the efforts to have no negative impact on the health of our employees.  And then we are working on business continuity. As I mentioned in my introduction, I'm extremely impressed about the effectiveness and the efficiency of our organization in China. It shows you once more what in this country is possible, and how people are able to live with very, very difficult situations.
Daniel Gleim: Maybe could we complete the picture? What are your observations on the demand side? What are your customers doing? How is construction work progressing?
Thomas Oetterli: So in order to have a contract in China, you need a signature, like in all the other countries as well. Now the question is how do you make a signature if people cannot meet? So today, all the efforts we are doing towards our customers in terms of sales, in terms of questions is all done online and on the phone. This has also impacted, by the way, the performance of the Internet in China because everybody at the moment is just working from home.  So customers are waiting with the start of construction sites. There are signs that the first customers are now requesting the deliveries of elevators and escalators. And we see signs that some construction sites are opening now and also in the next week. We are in constant contact with them. But it will take time, and it will depend region by region what is the pandemic situation in a certain region because there is not one rule in China. The different provinces and even the different municipalities have different rules about who is allowed to move within the province or the municipality.  And as all of our players in the market, for example, in the new equipment business, are working with subcontracting companies, those subcontracting companies are usually not coming locally from that city. So you also are facing the problem that people, even if the customer would like to start, you first have to bring the workforce to that job site. And in some areas, again, you have these 14-days quarantine period. So when you build up the workforce, you still have to wait for another two weeks.  But I also believe that depending on the progress within the country, some of those restrictions might be loosening up in the near future. But you have to expect that Q1 will be severely impacted by this very challenging environment.  There's a question here.
Unidentified Analyst: Philippe Prex, Adiophe [ph]. One another challenge is the qualified field labor shortage. Is it mainly in markets in any -- A markets or in other markets, too? 
Thomas Oetterli: Well, there are two elements. One element is a social element. In many, many western countries, people do not work, don't want to work anymore in a blue-collar job. In all fairness, if you look in Europe, but you also look in the northern part of the Americas, people would like to have a white-collar jobs. And they would like to spend the time in the office and not on a bloody cold job site. So that's a social development.  So we have to make the job more attractive, and you also have to remove some of the tasks which are really very, very dirty and sometimes also a little bit more dangerous. That's one reason why we have started with R.I.S.E, Schindler R.I.S.E. It will help us to replace some of the work to be done on a very dirty environment by a robot. And first tests we have done in 2019, and it was very, very promising in terms of efficiency, in terms of quality but also in terms of safety. And we are now ramping up with Schindler R.I.S.E program all over the globe. I have to admit, the demand is very high, and we are overwhelmed also by the customer feedback.  But then there is another topic, and this is depending on the country, what kind of a union situation do you have. So in some of the countries, especially for example, in North America, in the U.S., you have a very strong union. You are not allowed to bring someone on a job site who is not part of the union. So the union delivers to you the employee. You say, "I need 5 people," and they will deliver to you 5 employees. And if they have no employees, you don't get new people. So there is a combination between social development and the labor environment.  And then, of course, the third element is, if you have a boom, a construction boom like in Germany. In Germany determine, you say -- you can read -- in Germany, you can read very often. We are also impacted not only by our own qualified field workforce, but also there's not enough field workforce in other areas of the construction industry.  So far, we have seen that the time line between the order booking and billing to our customers in those markets has been expanded. So the total cycle time is now longer and longer, and it can go even beyond 2 years in some of the markets for a normal residential building.  Nevertheless, we have not faced the situation where we could not fulfill the demand of our customers. It apparently seems to be that we have a very good employer brand, not only within the industry but also among industries. People like to work for this company, as I do it for more than 25 years, and they enjoy that they know exactly what they get.
Fabian Haecki: Fabian Haecki, UBS. I got a question on your new installation 2020 outlook. When I compare versus the new installation in '19 actually, it has not reversed, and it is for Americas flat. This is about the same as the development last year. In EMEA, it's actually a bit better as you had quite a harsh Turkey impact. And then in APAC, you're saying growth in India and Southeast Asia, which also sounds reassuring. And then we got the pandemic impact. So pre-pandemic or pre-corona, what would have been kind of your description for the Chinese market on new installation?
Thomas Oetterli: So I think this, we can say, we were expecting more or less a flat development for China before pandemic impacts. So in all fairness, over the last 3 weeks, Urs, we were going through that slide about the market outlook, I can tell you many, many times. And we were adjusting that depending on what are the latest news. So our assumption before, and so early January, was a flat development in China with different developments depending on the market segments.  We do see that in some commercial areas, especially in the retail business, we still see pressure on the market because there are less shopping malls. This is also impacting elevators and escalator business. We have seen a rather stable area in the office area. And we have seen strong momentum still in the public transport area, which is a very strong area for us because it's mainly driven also in the escalator business. And we saw stable, maybe slightly improvement in the residential. This was until three weeks ago.  Now at the moment, we have a different assessment. Our assessment is that there will be a decline in China as China is 60% of the worldwide market. If 60% go down and the rest is more or less flat, let's say, then overall, the total market will likely go down. But I also have to say, maybe in a month or in 2, this will look different.  There is maybe questions here in the front.
Bernd Pomrehn: Bernd Pomrehn from Vontobel. Maybe coming back to the supply issue, please. From which point on do you expect the supply issue, these disruptions could have a negative impact on your operations in the U.S., in Europe, et cetera? So how are your safety stocks looking? Or when are you running short of electronic components, et cetera?
Thomas Oetterli: So there are always two hearts in your breast. There is the heart on my right side, the CFO. He wants to have no stock because this is not good for net working capital. And you have the people who are running, in fact, the factories. They would like to have as much stock as possible because then they can ensure operations.  At the moment, we don't have an impact in the other supply chains. But this could happen in March that we do see impacts, not directly from suppliers to us, but from the supply -- because we directly get supplies out of China. But we do have impact at certain suppliers of us. Also local suppliers are short in certain components.  But we do have a mitigation plan for that. We are assessing at the moment, thanks God, our second sources for most of the components, we do have a second source. So we are ramping up second sources. That's one element.  The second element is what I have mentioned. We try to support our suppliers that they get the permission from the government. And you have to imagine, sometimes those suppliers, they don't have such a corporate structure like we have. So they are a little bit overwhelmed with, "Okay, what do I have to deliver now that I get a permission by the government?" So we are helping them. What is an escalation plan? What is a people protection plan? What is a logistic plan? Because we also are benefiting if they are back in business.  And then the third element, that's the worst-case scenario is that you do have to do so-called partial shipments. So all the components you do have, you already ship on the construction side because to install and elevate it, it is not done overnight. So you can start to install those elements. You, anyway, start with the installation. And then the rest, hopefully, you get a little bit later.  But this, of course, impacts your efficiency on the installation phase. Because as always, it's not good to do twice, to go back twice to a construction site. It's much better if you have a smooth run. So at the moment, we don't have an impact.  We are also benefiting a lot that we have a very distributed supply chain. So we have a very strong supply chain for elevators and escalators in Europe. We are -- we have a very strong supply chain, and we have built that up over the last 5 years in India. And we do still produce also in the U.S., and we also produce in Latin America out of Brazil. So we do have a little bit an advantage that we are well diversified except of -- if there is a subcomponent, which we are waiting in one of those supply chains. And this really helps us, so we can confirm to our customers that at the moment, we don't see delay. If it would take still a couple of weeks, then I have to say the maximum impact we have mentioned could happen.  There's one more here. Yes?
Remo Rosenau: Remo Rosenau, Helvetische Bank. Looking purely at your service and maintenance business in China where you usually have long-term contracts, is it fair to assume that there, basically you'll receive your payments anyways because you received the activating of the annual contract re-lease or renewal, and that is regardless of what happens in the market, right?
Thomas Oetterli: This is on first side, a correct assumption. On second side, I would probably partially disagree with this hypothesis. Yes, you are right. We usually have an annual contract or an annual payment. But what do you do with a hotel who has no guests? How do you act in a moment of crisis with a customer? We are a long-term service provider, and we are someone who also want to go, on the one side, with suppliers, but on the other side, with customers. We also go to get it through bad times. And I remember what happened many, many years ago when we had SARS, and especially Hong Kong was tremendously impacted like this. Last year, Hong Kong was already impacted by the protests, now they are impacted by the coronavirus. There is no guest anymore in a hotel. So the hotel, for example, or the shopping mall, they try to somehow stay alive, and they have to reduce also certain fixed costs. So we have seen a couple of years ago that we had to do onetime rebates for a very, very difficult time for our customers. This has not yet been -- happened in this crisis, but this could happen. I don't say that I like that in all fairness because it is 1:1, it goes to the bottom line. But on the other side, you have to think about the time after the crisis. And people do not forget how you act of -- during a crisis when they want to do business after the crisis. And we are a family company since almost 150 years, and our task is to make this company even more successful for the next generation of leaders and also shareholders. So we have a very, very simple slogan towards our customers, "We never let you down." So this might have consequences, although on first sight, yes, you have a yearly billing, for example, but we might face the risk that we do have to do some concessions for a certain period of time.
Remo Rosenau: Very interesting. Thank you for that. Talking about SARS, could you just say what kind of magnitude those rebates were in that example, for instance, and for how long of a period?
Thomas Oetterli: So on that time, it was mainly in Hong Kong. Urs, maybe you can explain because, in fact, you have been in Hong Kong and in China on that time.
Urs Scheidegger: Yes, that was a very selective issue, really focusing on the city of Hong Kong at that time. It's true, I have been there at that time. And Schindler is a very big player in the city in all the 5-star hotels and the top-end commercial buildings. So short term, particularly hotels, were requesting rebates, clearly, double-digit rebates, 20%, 30% for a short period of time. But it has been proven, going forward, that this was the right action because we have a very, very low loss rate, particularly in that city.
Thomas Oetterli: There was a question we have here in the middle.
Martin Flueckiger: Martin Flueckiger from Kepler Cheuvreux. I've got 3, and I'll go one at a time, please. Coming back to the China issue, obviously, it's on everybody's mind these days. We've talked about demand and supply side effects, but we haven't really talked about policy effects that we might see over the next few weeks and months. And I was just wondering, do you see -- because so far, if my understanding is correct, in 2019, we've seen an overall tightening mode within China as regards property and particularly residential policies. What are your expectations here both for the resi and nonresi, but also for the infrastructure side? That will be my first question.
Thomas Oetterli: So I'm not in the position to say what the Chinese government will do. I'm not part of it, but I do have a certain assumption, of course. And I think whenever you are in an economical, let's say, crisis mode or in an economical, very difficult and challenging environment, usually, you could expect that the government is pushing a lot from their side with real estate. Now there are 2 ways how the Chinese government could, for example, react. They are pushing even more public-transport because this is, in fact, infrastructure projects. They will -- these will generate GDP. And one element is still they have a multiyear plan about railways, metros, airports, and maybe they will advance some of those programs to drive economy. So I think that would be very good news for us as we are extremely strong in the public transport area. Then the other topic will be how would you react on these tightening controls they had on pricing for residential apartments. Probably also there, if you look on the numbers from the Bureau of Statistics, it's quite clear that we still have quite a low level of inventory. So the unsold apartments, it's quite low. There has been, in the last quarter, a little bit less of units sold, I have to say, or floor space sold. So in order to maybe generate more sales, I could imagine that they would be loosening up some of the restrictions they have in order to create more demand. And with more demand, of course, you have more production. You have also, in our industry, then more elevators to come. So I could imagine that after the crisis, the Chinese government would push that.
Martin Flueckiger: Okay. My second question is on your modularity program. Could you elaborate a little bit on the key achievements that were made in 2019 and what your targets are with this respect for 2020? Maybe also give us a flavor or an update on what you think the incremental savings will be from modularization this year and next.
Thomas Oetterli: So modularity program, maybe you can talk afterwards about financial impacts. I make more the sales pitch. So the modularity program, the factor is according to plan. So last year, we have mentioned that we have introduced several components. Now we have started to introduce the products. So in Asia Pacific, without China, we have started to launch our F3 products. We started with now more -- first, with the residential product. Towards the end of the year, we will have also the commercial product coming. At the moment, we are doing all the sales training and all the introduction work in the European countries. So we are expecting sales launches until the mid of the year worldwide for the residential product. So we are on track. First feedback is really good and promising. You have seen before, it's a fully digitalized elevator. Whatever you would like to have can be included there. But it also serves, as it is a modular program, you can do a seamless offering for different types of customer segments. So from the very low end, you can go to the very high premium end. So we are happy with the progress. Nevertheless, I have to say, the big wave of rollout is coming now. We are very, very cautious to ensure that we have the highest quality for our customers. So we have implemented a lot of quality gates to make sure everything runs smooth because we never did something like that before, globally, several product lines at the same time, in all different types of supply chains to roll out. So we are careful. But we also are thrilled by the first positive feedback of our customers. So we believe that this will have a positive impact on our growth story. Now there is one element. We are also converting what we had offered maybe as a -- with the old product lines. We are converting the offers. The order backlog conversion is we are very careful because we always have to check whether the specifications of the old product fits with the new one. So we still will ship for a certain period of time, parallel the new products, but also the old products, where we were not able to convert. This will stop late, probably mid of '21. There will only be new shipments and no old shipments anymore. This maybe is the only thing where I was a little bit more optimistic that we can maybe start the full conversion earlier. But again, we are thinking long term. I don't want to make a mistake with the team that we maybe make a mistake in one, in the unit conversion. So late, late June, mid, somewhere in July '21, all shipments will only be the new modular products. And maybe on financials, Urs?
Urs Scheidegger: So indeed, modularity is a key pillar for our efficiency programs. Also in 2019, as Thomas is explaining, we have been on track and modularity delivered about CHF50 million savings incrementally in '19 to offset partly the very high increase of personnel costs driven by wage inflation and also our organic headcount increase. Into 2020, now the program is going into full force and full rollout. The plan is to achieve additional CHF80 million of modularity, which was in the plan. And we now need to deliver it. So these material cost savings are a big pillar of efficiency. But of course, you need to consider that this is phasing in and we also have components phasing out in 2020. And on those phased out components, we cannot achieve anymore, any savings or purchasing savings. And therefore, this is a bit the headwind we have on these material cost savings in 2020.
Thomas Oetterli: And to this, another topic. I don't want to repeat the story all the time. But of course, if you have 60% of the market worldwide in China, and our modularity program is also planned to be rolled out in China, at the moment, we cannot train our people because we cannot bring them together. And we cannot do all the trainings just via Internet. So there might be -- and this we don't know yet, how long it will take, but there could be a delay in the rollout of our modularity programs in China. This could be a negative consequence in the savings for 2020.
Martin Flueckiger: And just a follow-up for Mr. Scheidegger. What is left over in terms of incremental cost savings for '21?
Urs Scheidegger: So the leftover is about CHF50 million as the total savings should achieve CHF200 million. So to make the rate, CHF15 million was achieved in 2018, CHF50 million in '19, now we plan to have CHF80 million in 2020 and then about CHF50 million should come in '21.
Martin Flueckiger: So CHF230 million altogether.
Urs Scheidegger: 2/3 are achieved now in 2020, CHF150 million out of CHF200 million.
Martin Flueckiger: So three times CHF50 million plus CHF80 million is CHF230 million, right?
Thomas Oetterli: CHF15 million.
Martin Flueckiger: CHF15 million. Sorry.
Thomas Oetterli: In '18, it was CHF15 million.
Martin Flueckiger: Got it. And my final question, I appreciate your comment, Mr. Oetterli on the subject of industry consolidation among your key competitors. I was just wondering whether you could elaborate a little bit what your main concerns are with respect to increased expected competition because textbooks tell us that oligopolization or monopolization would lead to less price competition. You're arguing completely the opposite. What are your key arguments here?
Thomas Oetterli: Well, if you look on to today's competitive landscape, we have two players under place number one and the place number two, since many, many decades. And we are very proud as 1 of the 2. Unfortunately, on the second position, that we have achieved that position for many years, and we do not intend to give that up. So if there is ongoing consolidation in the competitive landscape, you can expect that those who have been for many, many decades under position number one and the position number two will not give up. So this will increase the competition among the big players. And we are prepared to do that because, again, we are thinking long term. And when you look into the market, it's not only the absolute size, it's the relative size. And in our industry, we are already very consolidated, so I do not believe that a further consolidation would ease the competition. I think it would increase the competition. Yes. Maybe here.
Martin Hüsler: Martin Hüsler, Kantonalbank. Two questions, maybe. The margin in the last quarter was 12.1%. And I was just wondering, apart of coronavirus, what would be your best guess have been for this year. Is this now a run rate? Or are there some special factors that have driven this margin in the fourth quarter to a level that might have been too high for 2020?
Thomas Oetterli: So first of all, I remember one year ago, we said Q1 will not be very good and Q2 will be better and Q3 will be better and then Q4 will be better. First of all, I'm happy to confirm that we kept the promise. So this also gives a little bit of confidence that in the way on how we work on our, let's say, business models, we don't completely miss the point. Now quarter four was a strong quarter. Yes, it was. And you remember, in our story we had, we said, usually at the beginning of the year, you are impacted by a lot of external factors which are negatively impacting you. And for us, I think the biggest impact is wage inflation. The biggest impact we have is wage inflation. Last year, we had about 3% of wage inflation. And this, of course, comes at the early of the year and stays for 12 months. And then all the efficiency programs we are doing, all the modularity savings we are doing, the rollout of F3 products, this is coming later during the year and then you start to catch up again. That's one element. The other element is we are preparing ourselves also for a difficult and challenging environment without the coronavirus. So we would like to differentiate from competitors by delivering a better service, a better quality and better and more innovative products. This comes at a cost. And you all know now, since many years, I have to admit, the story is always the same. We are investing a lot into our future competitiveness of Schindler because we want to be competitive also in 5 years and in 10 years. So we do further increase our investments into the Digital Twins, into our IoT solutions. We further increase our investments because we believe these will make us better in the eyes of the users and the customers than our competition. This is a key differentiating factor that's, I think, very important. And so therefore, this is one element, which maybe goes a little bit against a potential, let's say, forecasting on a Q4 level. Then there is a second topic, and I think, Urs, we should also mention that because this might be overlooked. And this is the foreign exchange impact we have with the actual exchange rates as the Swiss franc is very, very strong. So maybe you could also give us a little bit of insight about that impact.
Urs Scheidegger: Yes. This is correct. With the actual spot rates, 1 0 6 or 7 on the euro, 0 9 7 on the U.S. dollar, and actual spot rates for Brazil and China 2020 will be impacted at the EBIT line of about CHF60 million and it will be dilutive of about 20 basis points. I also would like to quickly come back to what Thomas said, we do forecast continued wage inflation into 2020 at the same level as '19, which will hit us now in springtime, particularly in those markets where we have scarce resources, Germany or North America. And Q4 is always a bit higher profitable quarter as normally with the final accounts on new installation or modernization projects. You are able to recognize underruns in the final accounts. And so Q4 is not the right base going forward. We have a full year margin, EBIT adjusted of 11.7%.
Thomas Oetterli: I will propose that maybe we still have 3 colleagues waiting in the line, that we would now shift to the questions in the line. And then we still have, after the press conference here in the room, we can still answer the one or the other question, respectively. We also have Marco Knuchel available. So I would propose that we hand over to the people waiting in the line to ask questions. If we then still have time, we can go back here into the room.
Operator: The first question from the phone comes from the line of Mr. Andre Kukhnin with Crédit Suisse.
Andre Kukhnin: Firstly, just a quick follow-up on coronavirus, sorry to keep coming back to it. In terms of paying your employees while they're not working, can you confirm that that's the case? And secondly, do you work up some kind of a time bank with that, that they can use for over time in the future? Or is this just outright kind of paying while they're not working and then continue paying them while they're working?
Thomas Oetterli: So good morning, Andre. I can confirm every single employee is safe. We have enough personnel protection equipment. We have very strict regulations, how people are or have to behave. So we try to keep the, let's say, white-collar people as much as possible at home. Of course, we have emergency departments like the call center, the spare parts center, which is 24/7 available. In every single site we have, we do have temperature measures. When people want to enter offices or a campus, if you have more than 70 -- 37.2 degrees, you are not allowed to enter our facilities. And it doesn't matter whether these are own employees or these are third-party suppliers. Also on the campus itself or in the offices, we are measuring 3 times a day the temperature. We are sanitizing and making disinfection of all the locations 5 times a day. We are in contact with every single employee every single day by the supervisors to make sure that they feel they are still part of the Schindler family and not forgotten and also to have a feedback if there is any problem or any special need because someone is running out of masks, gloves or goggles. So I can confirm everybody is safe, whether he works or she works in the service business, in the construction business, in the factory or in the office. We also have strict rules, very simple things, how do you eat in a canteen, how much distance you must have between people. So we do everything to avoid that, to give you maybe an insight on this. So yes, I can say we are taking care really with big, big effort. Now you have to mention to me once more your second part.
Urs Scheidegger: So we confirm that we still continue to pay salaries to all our employees.
Thomas Oetterli: Yes, but it's a good point. The government has prolonged the Chinese New Year vacation. This was declared by the government. So those costs are company costs. But what we do at the moment is that people use annual leave if they cannot work. People who work at home, they still can work at home. But some people who cannot work, they are taking, at the moment, annual leave. So that when people can go back to the work, that our employees do not come and say, well, now, after 3 days now, I would like to take two weeks of vacation. So this has been agreed, and so we try to mitigate potential impacts there.
Andre Kukhnin: Great. And coming to modularization and the kind of savings versus costs, do you expect that CHF80 million to -- and how -- do you expect any of it to drop-through to EBIT in 2020? Or do you think modularization kind of as a whole is more of a neutral effect for 2020 given the phasing in and out costs?
Thomas Oetterli: No, it will drop-through and it has to drop-through because we have, on the other side, we do have increases of cost. So we are spending more money for our investments into technology and innovation, and we do have wage cost increases, which cannot be completely compensated by efficiency. So there is no doubt the modularity has to bring an impact and it also will bring an impact. And the only uncertain element I have at the moment is what is a potential impact in the Chinese area. But those CHF80 million will positively impact our EBIT, but there are other elements which impact the EBIT. So if we don't have the modularity program, we would struggle to deliver a reasonable EBIT margin.
Urs Scheidegger: I would like to emphasize that this personnel cost topic will continue in 2020 for 2 reasons. One is inflation, as I said before, same level as last year, very likely 3% on wage inflation. Secondly, we are growing organically. So our headcount will grow by about 3% at the upper end and maybe a little bit lower now depending on our rollout of revenues. So the 2 elements are an impact to our P&L. In addition, this strategic cost Thomas is referring to, which will be incremental of another CHF20 million in 2020, we are investing into our Ahead IoEE platform and we are investing into Digital Twins investments, the FX I have mentioned before. And those headwinds we need to compensate with these efficiency measures. Modularity is the key pillar, this -- the CHF80 million, but also efficiency measures in the field and a little bit on service prices and repair prices.
Andre Kukhnin: Very clear. And you preempted my -- actually part of the second -- next question on the Digital investment. So we take it as a CHF20 million incremental spend for 2020. But on the Digital, maybe you could share with us the achievements as well. I think your three key peers have now shared some numbers in terms of numbers of connected devices and a proportion of those being on paid contracts. If we could have that information for Schindler as well, that would be a really great help in our benchmarking exercises.
Thomas Oetterli: Okay. So Schindler Ahead is in full swing. We have rolled it out globally. I mentioned in my presentation that out of all the units we now have connected, 75% are already supervised by local technical operations centers. This helps us because we can sometimes avoid -- when you have a breakdown of an elevator, you can avoid that you have to send a technician because we, remotely, we can bring the equipment back to operation. Now this will generate more and more efficiency in the future, the more and more we are connecting. Now we do not disclose the number of connected units because we have seen that maybe if you just are taking a long-term target and then you cannot deliver on that, this is maybe not always the right choice, and we have seen that, that sometimes, this has been the case. So we don't do that, but we can say that we are exactly according to plan. If you look into our sustainability brochure by '22, we want to have 500 million people per day using connected equipment. And we are exactly on track. We are even a little bit above our own ambition we had. So in terms of connectivity, we are good. Now once you have connected, and the main connectivity goes via new equipment, more than 50% of these connected units also get an additional contract, meaning that the customer is paying for it. And if the customer pays, and I have mentioned that last year, in average, we are somewhere 15% higher in the overall contract price. So we add about 10% to 20%, sometimes it's 10% to 15%, on top of a normal service price. We achieve a premium, thanks to Schindler Ahead, for more than 50% of the units we have connected. So what we have indicated in the last quarters, we can still confirm that more or less this -- these KPIS, key performance indicators, are still valid.
Operator: You next question from the telephone comes from the line of Mr. James Moore with Redburn.
James Moore: It's James at Redburn. Can I ask one on China and one on margins, perhaps one at a time. Thank you for the excellent explanations as to how you are managing your Chinese business and the impact of the pandemic, and I wish you all the best with that. But in terms of unit deliveries, I wonder if you could help around with some math I'm playing around with, which assumes that you delivered maybe 60,000 elevators in China last year. So I guess that's something like 15,000 a quarter. Would it be fair to say that unit deliveries in China might be down some as much as 60% to 70% in the first quarter of this year from, say, 15,000 last year to 5,000 this year. I'm not looking for precision, but just a rough order of magnitude, given what you already see in the first six weeks or so. Is that the sort of magnitude we're talking about?
Thomas Oetterli: So I will maybe start, and then I will hand over to Urs. As you know, we don't tell you exact numbers of deliveries in different countries, not even globally. But if you look on the impact on Q1, I think it's also important to know when do you recognize operating revenue. So one element is deliveries, but also when do you start to recognize operating revenue. And this was the introduction of the new IFRS standards we had two years ago, and so there is a certain impact also on timing. Urs?
Urs Scheidegger: So with the introduction of IFRS 15 when it comes to new installation equipment revenue recognition, we recognize it at installation starts across the world. So as a result, if there are now very limited deliveries to the sites and we can only start to recognize it with the installation starts, so when a supervisor, an installation supervisor is pressing the button and starts to add hours and material into the shaft, of course, that will affect quarter 1 very clearly. On your very specific numbers, I wouldn't like to comment right now.
Thomas Oetterli: But you can say that January, due to the Chinese New Year, January had about 3 weeks. So there, we were doing work and we were doing installations, so we also generated operating revenue. February, as you all know, there is no operating revenue really coming from new installation. Even if you ship a unit, there's nobody who does installation. So then it goes into ICC, and it's not yet -- there's not yet an installation start happening, so no operating revenue in new installation is happening. And we will have to see that in March, there will be a ramp-up, if we are right that people are coming back to construction sites. Then also with the start of installation, you also will have the start of operating revenue recognition. So probably the impact will be really substantial in Q1.
James Moore: And you gave some helpful comments on labor inflation and Digital, is it just converting the labor inflation into sort of impact on the margin. I think you had previously talked about minus 100 basis points. When you add the headcount increase with the labor inflation, is that the sort of magnitude you expect to come out for this year? And also on raw material, am I right to say it was around a CHF40 million headwind all-in when the number is completed for full year '19? And I think you mentioned that in the third quarter, you would expect it to be less for full year '20, but now you have probably a more complete picture. Is that still valid, or has that changed in any way?
Thomas Oetterli: I think, Urs, it's not so far away, what we also are expecting like in the year 2019.
Urs Scheidegger: Yes. And if you look on our financial report, 2019, you will recognize that personnel costs went up by 5.8%, FX-adjusted actually higher, closer to 7% in 2019, driven 3% inflation, 4% headcount, organic growth in '19. As I said before, for 2020, we need to assume it's not 7%, but it will be clearly a high number, 3% inflation, 3% headcount growth on the personnel costs. On material costs, there was a clear headwind last year of CHF30 million to CHF40 million. Going forward, we would see it has stabilized, maybe lately, even a little bit lower. But keep in mind, we are locking in our prices for the next 6 to -- up to 12 months. So I would say we should see a neutral material inflation now going forward to 2020.
Thomas Oetterli: Of course, it will also a little bit depend because most of the sub-suppliers, again, are coming from China. I don't know yet what kind of a price impact this could have upwards, but also, it could be that there is even a reduction of material prices.
Operator: The next question from the telephone comes from the line of Mr. Lars Brorson from Barclays.
Lars Brorson: I had a couple, one on the commentary from you, Thomas, on the Kone-Thyssen deal, one on building mines, which we haven't talked about, and one on capital allocation, perhaps more to Urs. I mean first of all, I was struck by your opening remarks, which I think painted out almost a cataclysmic picture for the industry and the supply chain from the Kone-Thyssen deal. Maybe you can help us understand whether it offers some opportunities for you competitively and for the supply chain and where across some of your key markets you see the greatest opportunity. And maybe also, specifically, since you singled it out, I was a bit surprised to hear you think there were antitrust issues in China. Perhaps you can elaborate a little bit on why you think that's the case.
Thomas Oetterli: Well, of course, it's always the same. Every risk and every crisis has not only negative sides, it always has also positive sides. When the crisis is impacting the whole industry, usually the ones who are doing good and doing well, they come out of the crisis stronger than the other. Now of course, everybody will try to do the same and to be stronger than the others at the end of the crisis. We have good confidence that with the set-up of our supply chain, we do have a good opportunity to maybe demonstrate a strong reliability in the availability of our supplies outside of China towards all the markets. I think the diverse and global supply chain footprint helps us definitely. But nevertheless, we also will be impacted by the others. I do not want to comment how severe the problem is for our competitors. I think, at the moment, we have enough to do with ourselves and we would like to concentrate on our strengths and not so much focusing on the others.
Lars Brorson: Sorry, Thomas, I think maybe there was some misunderstanding around the coronavirus. I apologize if that was how you interpreted it. I was interested in your remarks around the Kone-Thyssen deal, around elevator consolidation. My question was more whether you saw some opportunity around that. And also, your comment around antitrust issues in China, which I thought was somewhat surprising, maybe you could elaborate on why you think that will be the case. So it was really around elevator consolidation.
Thomas Oetterli: Okay. So let's assume there would be such a deal. What would happen? As I have mentioned, of course, all the other players would go into litigation. What does that mean for you as a combined entity, you are absorbed and you cannot move on. And this would create, of course, on one side, a certain uncertainty. But I think also on the other side, it creates a lot of positive momentum for us because also, if you look into the labor market, if you look into the people side, what we see, of course, is people like the way, sometimes maybe it's a little bit boring, how Schindler acts, but you know today what you get tomorrow and you also know today what you get in the year or in two years or in three years if you work for our company. On one side, it's boring. But on the other side, it also gives you a consistent strategy over years. There's no change. In all our press conference calls, we, in fact, repeat for years exactly the same. And our employees are appreciating that, and they are also willing to fight for this type of culture of a family company. And we also see that, in the labor market, we have -- within the industry, we are a very attractive player. This is an opportunity. And then, of course, even if you have 3 to 5 years, you are in litigation and you cannot move on, then once maybe you can start to move on, it will take some time. And I have mentioned that in my introductory remarks, that besides the litigation, it's, in fact, a very, very, very dramatic exercise if you have to merge everywhere in the world, you have to merge branches, you have to merge R&D and so on. So this is -- of course, a lot of resources are needed internally to bring that together. Our job is different. Our focus and our way of how we look at the situation is we are focusing on our customers. And we don't want that our customers have the feeling that we are looking inside and we are more occupied with internal issues than with the external issues. And I think this also can give you a differentiating factor to be attractive for the customers in the market. Yes, this will also give us opportunities. Now on the China case, China is like in every country, you do have regulatory rules. You have to look on market sizes, not only globally, but on different market segments. As we all know, one of these 2 potential marriage partners are very strong in China. They do have a strong position. Now if you add to a very strong player another strong player, of course, you would have the topic that you are facing, certain antitrust issues. I have no doubt about that.
Lars Brorson: Understood. That's helpful color. My second question was around building mines. I don't think there's a single mention in your prepared remarks on that. You spent, was it CHF18 million in '19? I think that's a bit lower than at least I expected. I think we were thinking of a sort of normalized annual spend rate of around CHF40 million, albeit maybe a bit lower in the first year. Is there any sort of reassessment of the investment required into that venture? And maybe you could help us understand what are you looking for in 2020 to determine whether indeed the venture itself is viable or how to assess the overall commercial success of that business this year.
Thomas Oetterli: So we have mentioned that, last year -- maybe on the financials, Urs, you can give an update afterwards. We have mentioned, last year, this is a start-up we are doing. And we really treat it like a start-up also in the way how it is managed. We almost act like an investor. We have shown at the EXPO REAL in October in Munich. We were demonstrating and we had the first public appearance. I have to say there was very good feedback from potential customers, but we are still in the co-creation phase or co-innovation phase with one of our key accounts. We now have more interested parties to join this co-innovation. And we are, in fact, happy with the progress we have. But as always, in the start-up, at the beginning, for a couple of years, it only costs money and then the benefits are coming later. But I think in terms of investment we do, there is no big surprise to tell.
Urs Scheidegger: There is certainly a ramp-up of costs to be assumed. After the CHF18 million cost full year '19, I would expect about CHF30 million, 3-0 million in 2020. So about CHF10 million incremental more than in '19.
Lars Brorson: And maybe finally, if I can, be allowed a third one, just on capital allocation. I mean we've had an ordinary dividend now move flat for three years at CHF4. It's been, what, three years since we last saw a special dividend from you. And you're obviously in a very comfortable net cash position. I wonder whether, Thomas, you can elaborate a little bit more on your thoughts around capital allocation in the short to medium term.
Thomas Oetterli: Well, I think it's the standard response I have, that the dividend is decided by -- first, proposed by the Board of Directors, and then it is decided at the general assembly. I think, also here, we are demonstrating consistency and continuity. We believe we now have with that more or less like a 50% payout ratio, which is even a little bit on the upper part of our range we have mentioned about 2 years ago. Looking ahead, we are facing turbulent times. And we need this safety liquidity for us in order to be agile. We don't know what will happen in the next 12 months, probably a lot of us don't know. So we want to be open for any type of potential investments. As I mentioned, if there are one or the other interesting M&A activities, not the big ones, but really the ones where we want to fill white spots, we are screening that, of course, all the time. But we also want to reinvest into our investment programs. We are further increasing, and we also want to be fit for growth. And sometimes, growth comes at a certain cost because in a situation as you are today, payment terms are a little bit more complicated. Some of our customers might be, short term, short in cash. So you have to be able to finance your production. And I'm pretty sure that we will have also once again the time, like 10 years ago, where everybody is congratulating us that we have so much cash on the bank, even with negative interest rates, yes, partially. But we -- our ultimate goal is to be independent and to grow organically and selectively with M&A and not to be dependent on someone else. And for this, yes, we have a little bit more appetite for cash than maybe other companies, I have to admit.
Operator: Your last question from the phone will come from Ms. Daniela Costa, Goldman Sachs.
Andrea Scatozza: This is Andrea Scatozza from Goldman Sachs. I have a follow-up on your comments on the possible loss of hundreds of millions of 2020 revenues. Could you please tell us how you think about second half of 2020 and if you see any possibility for the second half to fully compensate and offset the disruption that you're observing in the first half?
Thomas Oetterli: Okay. So the hundreds of millions, to repeat it once more, it's very much depending on the timing when you have to peak. I don't know when it will be. I just don't know. I have to admit, although we are in daily contact, we don't know. There are some signs that there is now slowly a ramp-up. I probably would say that maybe latest in, hopefully, somewhere in May, the country is again on normal speed. We have prepared everything to speed up. Also, maybe to compensate some of the shortfalls we have in the first half of the year, to compensate in the second half of the year, we have all capacities available. You can do 3 shifts. You can do Saturday work. So everything is prepared.  Now the question will be, are the customers also speeding up on their side, or is it just some elements are lost once and forever and you have to forget about that and you just continue in normal operation? Or is it happening that, in the second half, some of the lost operating revenue comes on top of a normal second half of the year? I think in the export markets, I definitely would expect that we are able to catch up. If we have certain shortfalls in the first half of the year because we have partial deliveries or so, I think there is no -- there is a good chance that this could be catched up. I have to admit that I cannot imagine that you can catch up in the second half of the year in China and maybe also in Hong Kong, partially Singapore, Taiwan, Macau, you will not be able to catch up everything. And then if there is the case that you have certain onetime rebates to be done, this also is lost forever. You cannot come then when the hotel is full and say, wow, now I would like to add 30% to the annual service price. I think this is difficult to implement. So there are elements which will be lost and elements which there is a good chance to be catched up. Okay. Then I would propose that maybe there is no more question here. I think we can also then quickly come to a closing, maybe some closing remarks. Also, in the view of 2020, Urs, if I try to summarize once more the key messages we have, point number one, Schindler will grow faster than the market, whatever the market is. The problem at the moment is not that we are convinced that we can go faster than the market. The problem is more that we don't know how big the market will be. But we have to address things we can change and not address things we can anyway not change. So in order to be very strong in growth, I think we have all the ingredients for the recipe together. We are launching F3 everywhere in the world. First launches have started, and we have a positive feedback. Secondly, we are continuing to do a lot of investments into our digitalization programs, Internet of Things, Digital Twins because we believe this is a differentiating factor factored in our industry. We have a very strong focus on customer relationship. We have established globally strong key account management networks. All of us are thrilled to really be in direct contact with customers and not to spend too much time only on internal issues. I think we have a very strong brand reputation due to quality, innovation and also customer-centric behavior. So we are confident that we can be stronger than the market. Secondly, we are working on profits. And you can expect that, also, with my personal background coming from accounting, I'm always looking on the bottom line, of course. But we are focusing on absolute profits. Our focus is not only the relative margin. And I repeat and repeat it again and again, you don't pay dividends out of a percentage. You pay dividends out of cash in the cash. It's very simple. So this is our key focus. And so if we can grow faster than the market and this contributes to our absolute profits, then we will do that. Now there are some headwinds, yes. We have a headwind, and you should not underestimate, we have a headwind besides the coronavirus of FX. This is difficult for us, but we cannot change that. But we are also working on additional efficiency programs. We want to stay lean. We will cut fat. And this will also come at a cost, so you can -- you have seen that in the last quarter, 2019, we had higher restructuring costs than we had in the past. And you also have to take note that this will continue in 2020. And one reason is also, as some of you have probably read, that we have also, due to changes in the markets, we also had a restructuring in our supply chain in Europe, where we have announced that we will shift -- or not shift, that we will have with the new F3 modularity program, some of the existing manufacturing places will be reduced or even closed. So we will close 1 factory in Zaragoza, and we are strengthening our manufacturing footprint in Slovakia. This also will add some additional restructuring cost in 2020. But again, we always do that because we have a long-term view. Long term, this makes us more competitive. It makes us more cost-competitive. And it also will deliver more top line growth due to this. And then last, but not least, we have discussed about the competitor landscape. Schindler has a very good employer reputation, so I believe we have a very good chance to attract a lot and even more good people in the market. Fostering a winning team is by developing your own people and your own leaders, but it also helps us to attract leaders from outside, from other industries, as we are today a preferred employer. And I think with this, we are confident and optimistic for the year 2020 and the years beyond. But yes, we will have some bumpy roads ahead of us now in the next few months, but this should not change our strategic approach.
Thomas Oetterli: And with that, I would like to thank you for following us today and looking forward to our next event, the first quarter results conference call on April 22. Let's have a look what the results will show there. And for questions maybe, which we were not able to address and any follow-ups maybe, please contact Marco Knuchel, our Head, Investor Relations. Thank you very much. Have a nice Valentine's Day, and goodbye.
Urs Scheidegger: Bye, bye.